Chris Esson: Good morning, everyone, and welcome to Aviva. Now before we kick start the presentation, let’s get some of the formalities underway with forward-looking statements. And now, I’d like to invite Maurice Tulloch, our Chief Executive to commence the presentation. Thank you.
Maurice Tulloch: Thank you, Chris. I love the steps and the imagery we have here this morning. Good morning, and welcome, everyone. I want to start with a reminder of why I have taken this role, to change AVIVA, to make us more commercially focused, more competitive and bring us back to the fundamentals of insurance. Our work has started at pace, we updated the market two months ago. And since then, we’ve made pretty good progress. At our investor update, I said, we’d separate the management of our UK Life and our UK General Insurance businesses and we have. I said we’d bring digital trading business back into UK GI, and we have. I said we would reduce annual costs by £300 million per annum by 2022 and we’re on track. This is how I will run Aviva, delivering what we said we would. We’ve also made good progress on strategy. And today announce that we are evaluating strategic options for our Asian businesses. We look forward to updating you on this and the refreshed group strategy as alluded to in November. Now to our interim results. I’ve inherited our market momentum here at Aviva. But more importantly, I now own these results. Operating profit of £1.45 billion for the half year is up 1%. Operating earnings per share of 27.3p, up 2%, and our dividend per share of 9.5p is up 3%. We have a strong and resilient balance sheet and well-run business units and we’ve made good progress so far this year. But I wouldn’t say I’m thrilled with the performance, it’s just adequate. And I’m not interested in adequate, but the change journey for myself is only 150 days old. And whilst I’m incredibly impatient by nature to put Aviva on the right foot, I realize we will do much, much better. Aviva is ready and resilient for the uncertainty, which may lie ahead, but of equal importance, I want the company to have ambition and ultimately, to have a robust strategy to realize it’s potential. Let’s take a look at the result snapshot. So looking beyond the headlines, there are five key points I want you to take away from today. Firstly, we have delivered results in a challenging market with fewer one-off benefits. Our headline growth is subdued and my ambitions for the business are much stronger. And quite frankly, they should be. But there are clear signs within the results of the quality and potential of our franchises. I expect our business to respond quicker to both market headwinds and tailwinds and be far more nimble. Second point, we are accelerating initiatives to improve the fundamentals. The change journey has only just begun. The tangible progress has already been made on structure, expenses, and quite frankly, my favorite, commercial rigor. We have positioned the balance sheet for all seasons. So despite external uncertainty, we are ready and resilient. Our customers expect nothing else from Aviva. They trust us to help them save, prepare them for retirement and protect what matters most. Four, we’re delivering on our progressive dividend policy, increasing the interim dividend by 3%. And five, since my appointment, I’ve worked closely with the Board on refreshing Aviva’s strategy. In conjunction with this process, we have decided to examine strategic options for our Asian business. Our businesses in the region are strategically and financially attractive, providing strong growth opportunities and good returns. Our review will examine whether our current strategy and ownership structure is optimal in helping our businesses reach their full potential. A full suite of options is being considered. The broader strategy work with the Board is progressing well and I’m looking forward to our Investor Day on November 20. Now let’s look at each of these in turn, starting with our performance highlights. Jason will take you through the results in more detail following me. I will, however, draw out some of the key themes that put our results into perspective and reinforce the strong foundations of our business. In life insurance, you can see on the slide, our operating profit is down year-on-year. As we highlighted, however, to you in June, this year’s interim results did not benefit from the $200 million longevity release that was included in the first-half of 2018. And there were headwinds for our savings businesses caused by challenging investment markets, but looking deeper at how our franchises are competing in their respective markets provides some encouragement. We have seen resilient and robust levels of customer net inflows into our long-term savings businesses here in the UK and also in Europe. Both the UK and Europe saw net inflows of circa £2.4 billion in the first-half. And in both cases, this equates to 4% opening assets on an annualized basis. [indiscernible] Aviva Investors were more challenging, but we’ve seen a pickup in external mandate wins within Aviva investors of late. Perhaps more pleasing is the recovery of underlying investment performance at Aviva investors. We now have 79% of our funds beating benchmark year-to-date in 2019. That’s a pretty good lead indicator for what lies ahead. In general insurance and health, our first-half results demonstrate that we continue to be good and consistent underwriters. Our general insurance combined ratio improved to 95.9%, which includes an impact of 0.8% by moving our UKD costs over into the UK GI. We did, however, benefit from the weather and our major general insurance markets. Our recovery in Canada has accelerated, as rates and claims actions begin to take hold, and we’ve shifted our general insurance mix to more profitable Commercial Lines segments. Just as importantly, we maintained discipline when market conditions were less favorable like the retail property and casualty sector in Ireland and the motor insurance and individual protection business here in the UK. Aviva’s core has been the tight range of between 94% and 97% for many years now, despite the variations that naturally occur on weather and market cycles. This is a consistency, is a mark of the quality of our underwriting results. The key takeaway is that our customers trust Aviva to provide their savings and protection, and this is reflected in our results. But there’s still plenty of room for improvement on costs, on mix, on revenue growth and how we allocate resources to generate the biggest impact on performance. There’s also room for improvement in our corporate and debt costs. While these costs have declined due to lower interest costs and reallocation of digital, the costs are still high and this is something I plan to address. This brings me on to the topic of fundamentals. In our investor update on the 6th of June, I spoke about the need to reduce complexity, drive greater commercial rigor and improve efficiency. On efficiency, our plan is to reduce, to repeat operating expense base by £300 million per annum, net of inflation by 2022. This is necessary to improve margins and make us more competitive in our markets. We are moving at pace. And while our results show that expenses are up 2% year-on-year, this is largely a result of carrying forward the high cost base from the second-half, it’s still unsatisfactory. For our previous comments, we continue to expect operating expenses to be down in absolute terms over the full year. This expectation is inclusive of costs to achieve future savings. Run rate savings achieved so far in the first nine weeks are £25 million. The transformation team is now fully in place and plans are mapped out for savings across the business units, functions and group center. So you should expect some pretty bold action, including a significant reduction in the size of our group center and cutting project costs by a substantive amount. A more rigorous assessment criteria for new investment will give us substantial savings as we look to resize the change budget from £600 million per annum to a more sustainable level that delivers value. When I talk about running Aviva and running it even better, I’ve said often that I want to run Aviva better with a relentless focus on the fundamentals of insurance. I’m sorry if this is becoming boring, it may still be boring in five or 10 years. I’m going to focus on customer service, I’m going to focus on pricing, I’m going to focus on underwriting, I’m going to focus on cost efficiency and I’m going to focus on investment performance. We’re not resting on our laurels. In our distribution, we’ve had some great new business wins that are currently in the contracting phase and I look forward to talking about those to you in due course. We’re continuing to leverage our digital prowess to improve connectivity with our intermediary partners, making it easier, simpler and more efficient to deal with Aviva. For example, in the UK protection, we’ve introduced an online adviser portal, enabling self-serve and reducing inbound call volumes. We’ve also launched My Pension in the workplace business. We’re the leaders in the UK to further capitalize on that position. From a pricing and underwriting perspective, we’re extending our data science expertise across the entire group, delivering quantitative and behavioral insights that are improving risk selection, driving increased retention and ultimately improving lifetime value. There are many, many more examples, but there’ll be lots of time to look at those in more detail in November, when we take a closer look at our businesses. Let’s talk a bit about capital. The key focus for Aviva, particularly in times like these, is the strength of our balance sheet. And our track record, which goes back years is as prudent financial managers. We made huge progress in recent years and I want this to continue by maintaining our financial strength and addressing areas of debate have had with many of you like debt leverage. At the 30th of June, our solvency coverage remains well above our working range at 194% and perhaps more importantly, the surplus capital has held up incredibly well and that’s at £11.8 billion. And our centre liquidity is currently at £2.3 billion, certainly a high number in terms of my memory. These are strong foundations that give us resiliency in the short-term and the capacity to fund our deleveraging plans in the coming years. The topic of debt. Our credit rating was recently upgraded to AA- from Standard & Poor’s last month. We’re now rated in the AA range by the three major rating agencies, which is a mark of just how far we’ve come. We’ve positioned the balance sheet to be strong and resilient across the economic cycle, and Jason will provide you with some additional disclosures on this topic. Let’s turn to dividend. We’ve increased the interim dividend to 9.5p per share. This is an increase of 3% and this is in line with our progressive dividend policy. Now I expect you’ll have some questions about how you should interpret today’s dividend when thinking about future expectations. I’m not providing any quantitative guidance outside of reaffirming our progressive dividend policy. But what I would say is that the key point you should take away from today is that the dividend is driven by underlying performance of profitability and capital generation. We have a dividend that is sustainable and well covered by OCG and we have a strong capital and cash position here at Aviva. In the short run, I would expect to see many of the actions start to work towards strengthening our OCG, such as being brilliant at the fundamentals, enhance commercial rigor and, of course, the cost reductions. With that, let me invite Jason Windsor to the podium to present our financial results. Jason?
Jason Windsor: Thank you, Maurice. Good morning, everyone. Maurice has summarized the results and progress on our early strategic thinking and how we will run the group better. I’ll take you through the half year numbers in more detail and give you some new dates from capital generation and asset quality. Here are all the headlines in one place. Operating profit increased by 1% to £1.45 billion, operating capital generation was £0.8 billion, the Solvency II surplus was $11.8 billion and centre liquidity £2.3 billion. Our solvency cover ratio fell 10 points to 194%, largely as a result of increased SCR following interest rate falls in France and the UK. Dividend per share is up 3% to 9.5p. I picked two points in operating profit to give a flavor of the overall performance trends. First, in Life and Asset Management, these businesses have generally seen lower operating profit. This, as we highlighted in June, reflected lower longevity releases and the challenging market environment. Second, is the improvement in general insurance, benefiting from the recovery in Canada, good weather and this is despite moving digital to GI from corporate costs and other. Turning to IFRS NAV. This increased by 8p per share to 432p. With the chart on the left-hand side illustrates, the increase largely reflects operating earnings per share of 27p, our final 2018 dividend of 21p, IFRS 16, relating to the treatment of operating leases, and of course, the recent Ogden announcement. We have had positive investment variances in the first-half and these more than offset amortization of AVIF and other intangibles. As a result, basic EPS was 28.2p in the first-half, up 3.5 times compared with the prior period. It’s worth testing on investment variances as we’ve had questions from many of you on this. Variances largely arise because of the choice we make on capital management. We manage our capital on an economic basis to protect the Solvency II balance sheet. This is the capital, which drives our ability to meet regulatory requirements and pay dividends. This approach can result in some volatility in IFRS profit, which we classify as non-operating. I would also highlight amortization costs. This is an area where I’m reviewing our presentation, particularly for internally generated intangibles. This is to ensure our reported operating profit is most aligned with the business’s performance. Our solvency surplus was resilient in the first-half at £11.8 billion. Owned funds grew by £0.8 billion, after paying the final dividend also £0.8 billion. Not least in the reduction in bond yields, our balance sheet and SCR expanded. As a result, our Solvency II cover ratio fell 10 percentage points. The current yield environment does pose challenges to how we manage capital and product mix. This is especially the case in our French and Italian businesses, where volatility has required active management. I’m focused on capital generation. And as you can see on this slide, I’ve provided additional disclosure on OCG in the first-half, breaking out the owned funds and SCR components and adding information on new and existing business, which should help you better track and understand capital generation. In terms of OCG in the first-half, underlying generation was flat at $0.7 billion, as was the investment in new business at £0.1 billion. The decrease in total OCG of £0.1 billion was mainly from moving UK Digital from non-insurance into UK GI. Looking now at cash. The picture here has remained quite strong. Remittances were a touch under £1.6 billion this half versus £1.5 billion in the prior half. There wasn’t a special remittance in the first-half of this year, though we did benefit from accelerated phasing from a number of businesses. The timing of cash flows from the business units does vary due to a range of factors, including internal capital demands and Board meeting timetables. This is why we look at total remittances over a longer period than six or even 12 months, typically, three years. Our centre liquidity now stands at £2.3 billion. Given we are prioritizing cash deployment into debt reduction, it is possible our centre liquidity will remain strong for the foreseeable future, while we wait for debt maturities to come around. In the meantime, it gives us additional flexibility to deal with challenges that might arise in the macro environment. On the topic of macro challenges, it’s worth spending a moment to revisit our investment portfolio and balance sheet strength. We know there is considerable uncertainty in the political environment. But the key point is, we’ve built this balance sheet and the asset portfolio to withstand all weathers. It’s high quality and we’ve not weakened our lending standards to chase growth. We have £93 billion of direct shareholder-backed assets. We invest those assets to deliver secure long-term returns, measured by economic capital and real-world spreads. The key points to draw out are: our corporate bond exposures are diversified in high-quality with less than 1% rate or below investment grade. Our average LTV in commercial mortgages is 56%. You can see more details on the commercial mortgage portfolio in the slide, including the breakdown between sectors, office, retail and others. Equity release mortgage LTV is 26% and new business LTV is 19%. And our effective HPI assumption is 0.7% per annum. We have a longstanding strategic hedging program to manage the equity and spread risk. As a result, our capital position remains relatively insensitive to movements in equity markets. A 25% fall would cause a 4 point move in our cover ratio. For corporate spreads, a 100 basis point increase would only hit our cover ratio by 6 points. Our exposure to interest rates is mostly limited to France, where we’ve stepped up our active management. We have significant buffers in IFRS and Solvency II for adverse price outcomes and the second equity release consultation. All in all, we have a strong balance sheet with highly controlled exposure to credit and market risks. Now turning to leverage, another topic that is featured prominently in our investor discussions. We’ve committed to taking debt down by at least £1.5 billion by 2022. Set out here are two of the metrics that we used to monitor our leverage, Solvency II basis and S&P is representative of a rating agency approach. The most important to me is a Solvency II basis as this is the economic balance sheet and is the main focus of our regulators and informs us as to how much debt capacity and dividend capacity that we have. Our leverage ratio on this basis, including all hybrid, senior debt and commercial paper was stable at 33%. On a pro forma basis, adjusting for £1.5 billion of debt reduction plans, the leverage ratio would fall to 29% and would reduce interest expense by £90 million per annum. On the new S&P leverage calculation, we are 35%, comfortably below the S&P neutral threshold. And as Maurice mentioned, we were pleased S&P upgraded our financial strength rating to a AA- last month. We’ve made considerable efforts over a number of years to improve financial performance and the resilience of the balance sheet, and to be rated AA range by each of the major three rating agencies confirms the progress we’ve made. Let’s change tack and let’s shift focus on the group financials for the business performance, starting with the UK Life. IFRS operating profit was down 13% to £722 million. As we highlighted in June, our analysis of our longevity reserve position will be completed later this year. So we didn’t have the benefit of a longevity release in the first-half, unlike last year. As a result, the contribution from other declined by $70 million. Excluding this line and the legacy portfolio, operating profit was down 1%. Looking at the trends in our major product lines, annuity and equity release volume was 16% lower at £2.2 billion. We wrote £1.2 billion of BPAs, a good performance, albeit lower than the prior year of £1.5 billion. By the end of July, we were flat year-on-year in terms of volumes written in BPAs. Our BPA pipeline remains strong and whilst we will continue to be selective, new business volumes in the second-half, but good and beyond that. In group protection, new business volume grew by 38%. This more than offset the 9% reduction in individual new business and will remain a competitive market. The challenging new business environment and individual protection flowed through to our IFRS results, with lower new business contribution leading to a 4% reduction in operating profit. And in long-term savings, net flows were stable, a positive £2.4 billion, with continued success in the workplace pension market. Net flows were also positive in the retail platform and looking across the industry, our performance has held up relatively well. We now have platform assets of £26 billion. Taken together in a challenging environment, the UK Life businesses had a reasonable performance, but our ambitions for this business are much higher. In Europe, the results are steady. Let me start with the Life business. The 2% decline in operating profit from our European Life businesses was primarily driven by lower profits in France and Poland. In France, our largest market in Europe, our results reflected challenging investment conditions, higher expenses and lower profitability and protection. These declines were partly offset by continued strength in our Italian business, which grew Life operating profit by 32%, and Ireland, where we benefited from the acquisition of Friends First. The increase in OCG was largely due to management actions. Our trading activity remains solid across the European businesses. Life new business volumes increased 9%, with continued strength of hybrid product sales in Italy and strong demand for participating products in France. You can see the impact of product mix and low interest rates in our VNB margin, which fell from 4.5% to 3.2%. We will need to keep looking at our product mix and volumes in the second-half given where yields currently out. General insurance in Europe showed relatively modest progress overall, with growth in France offset by lower profits in Ireland. Net written premium was broadly stable. And like other markets, we’re seeing higher volumes in commercial lines. The combined ratio in GI remained strong at 92.9%, with benign weather offset by elevated large losses and a gradual softening of the GI market in Ireland. UK GI had a solid first-half. The combined ratio was up 1.4%, with the benefit from favorable weather, offset by lower levels of prior year development and an increase in costs into the move of digital, as I mentioned before. Net written premiums were up 2%, with 7% growth in commercial lines, offsetting a 1% decline in personal lines. We try to manage volume in personal lines in what has been a soft pricing cycle, and that has helped preserve profitability. In commercial, we maintained a measured growth in top line and attractive profitability. Our SME and our corporate and specialty businesses continue to make very good progress. One of the major initiatives in UK GI has been the alignment of UK digital direct trading under the UK GI business. The businesses weren’t sufficiently joined up and combining them will help to improve our competitiveness in the direct-to-consumer and price comparison channels. Canada is delivering a healthy recovery in its results, with a combined ratio improving by over 7 percentage points to 97.5%. The benefits of pricing and claims management initiatives have begun to emerge. With the rate increases implemented in March still to run through to results, we remain confident in the sub-96% combined ratio target for 2020. The pricing response necessary to restore profit margins has had an impact on lower new – on new business and this is reflected in lower net written premium in retail lines. This was expected and was a tradeoff we were willing to make to restore profitability. With widespread increases in pricing across the market, retail volumes should normalize over time. Turning now to Aviva Investors. It’s been a challenging 12 months or so for asset managers and Aviva Investors has not been immune, with revenues and operating profit down in the first-half. Our continued focus on fundamentals has helped to deliver improved investment performance in the first-half. More than 75% of our funds are beating their benchmark at the end of June and we’ve seen AIMS performance bounced back, with a target return and target income funds, up 6% and 9%, respectively. That is a good leading indicator for the third-party business and we’ve seen some large mandates, one in fixed income, that landed in July. So the trends are encouraging, even though the results may remain challenging in the near-term. Asia has continued to perform well in the first-half. We’ve grown operating profit with Singapore and China leading the way. In Singapore, our largest market in the region, growth in operating profit was held by an improved performance from our Health Insurance business. We’ve continued to build our financial adviser distribution, which is now at over 1,650 [ph] advisers and has helped to deliver 24% growth in business volumes and a 14% growth in VNB. So to conclude, my focus is on improving operating capital generation, delivering on our cost savings target and reducing debt leverage. While the external environment remains challenging with very low interest rates and ongoing political uncertainty, our balance sheet is strong and resilient, and we remain focused on serving customers and making disciplined trading decisions across all of our businesses. We’re also working to capitalize on the tailwinds from a lower cost base from a leaner and clearer organization structure, which should help us capture the long-term growth drivers in each of our markets. So I’ll close there. And now, thank you. We’ll move to Q&A.
Operator:
Q - Jonathan Hocking: Thank you. Good morning. Jon Hocking from Morgan Stanley. Three questions, please. Firstly, on UK Life in terms of the underlying ACG. If you look at the chart, the underlying OCG seems to be flat year-on-year, but the underlying operating profit seems to be down manage over legacy. Could you talk a little bit about what the outlook is for the OCG, given how important it is as a portion of the group? Secondly, Maurice, you said that you are, I think, dramatically resizing the change budget downwards. Does that mean you’re also reducing the amount of change, or you’re going to do the change in a different way? So the second question. And then finally, on the leverage illustrations you’ve given, both on a substitute basis and also on an S&P basis. Is that purely the new rate effect there, or are you assuming something for book value growth over the period? Thank you.
Maurice Tulloch: Great. Thanks, Jon. I’ll take the second question and Jason can get ready for the first and the third question. I think when I looked at the change budget, it was running approximately about £600 million per annum. Jon, if I go back historically, that number used to be far closer to the £350, £400. It’s not that I’m anti making investments. If I can make an investment and reduce my IT run costs, for example, by 30%, then I’d make that investment. But you do get a capacity in terms of the number of projects and the ability to actually manage those. So that’s the first consideration. The second consideration is, I want far, far greater commercial rigor. I’ve never seen a bad business case. Someone brings me a business case, that’s them signing in stone, if you like, about the cost they need and the benefits they’re going to derive. And quite frankly, both the costs have crept up on original business cases and the benefits have never been realized. So I’m resizing the change budget to make it a much more appropriate level for Aviva, so that we can deliver on the proper investments. And that’s part of one of my thematics on commercial rigor for the organization. Jason, do you want to...
Jason Windsor: Sure. On UK capital generation. For the last three years, UK has been phenomenally successful at generating Capital, and it largely comes from significant one-off actions and the like, which you’re aware of. We are very focused on underlying capital generation. And as you mentioned, it’s a business in transition from some of the older products to some of the newer products. So it is very much on our minds and it’s all about planning and thinking is to make sure that we can grow that number. So we measure quite carefully how much capital we spend on new business. And then we are obviously taking actions around margins and cost reduction, which will generate further growth in OCG over the period. On leverage, I mean, the numbers on the chart were just a simple £1.5 billion of the numerator and the nominator and give you the pro forma number. It’s not a forecast as part of the plan. Clearly, if we do grow book value, that would be a lower number.
Greig Paterson: Greig Paterson, KBW. Three questions. One is in terms of the persistently large losses in GI, is – does that not concern you debt in terms of underwriting standard saving [indiscernible] terms and conditions or some issue there? I wonder if you want to talk about that. Second point is, I just want to update where we are with AIMS. And the third thing is the Singaporean court case, [indiscernible] about basically the bulk of your agents having come from there originally. Wondering what were some thoughts on that and the potential liability there?
Maurice Tulloch: Yes, Greg, let me start. I’ll start with the third question. So the pru is not suing us, they’re suing Peter Tan. Aviva is not a party, so that one is – that was pretty simple to answer. On our General Insurance business, I’m actually quite pleased. I mean, we’ve seen our reported core come down to 95.9%. I think that’s on a group-wide basis. That includes 0.8% for the one-time movement of the UKD costs over otherwise it’d 95.1%. It also looks quite good on a normalized basis. We’re going to get large losses and we’re going to get weather. We didn’t have weather, it was rather benign. The large losses are not sitting outside of the range that we would expect on that. So there’s no real concerns there. I think on AIMS. Let me start by making a comment and then, quite frankly, I might ask Euan to make a point. So we can just get the mike over to Euan. Clearly, investment performance inflows are a function of performance and AIMS has had good performance. I think, I would say, and I’m sure Euan will back me on this that Q4 last year, and particularly in December, was not good period for AIMS. And hence, we’ve seen some of the outflows. But if you look at the performance in AIMS this year, and Jason alluded to it in his commentary, it’s been very strong and leading the former and sort of multi-asset fund performance. So I mean, Euan you obviously would have additional insight?
Euan Munro: Yes. I think, obviously, it’s a high-margin product, and quite rightly, people do pay attention to it. And over the last 12 months or so, we see about 3 billion leave the AIMS portfolio. The flow is going two ways now. And I think for me, one of the really important things as we have been quite investing in the investment capability and we’re seeing the benefit of that. So a big project for us. We’re starting around the best performance. Part of that was building out the equity team, that obviously cost us some money, but as well as the number in terms of number of funds beating benchmark year-to-date. Our long-term track record is restored, so we’ve got over three and five years, 75% of our funds exceeding benchmark. So I think that both AIMS and there are other propositions and credit equities and everything else are in good shape to sail into the future. So I think, the problem with fund management is when you underperform, you get punished and rightly so. But when you perform, generally things are just and you start getting the flows as a lead indicator.
Oliver Steel: Oliver Steel, Deutsche Bank. So you’ve announced that you’re looking at strategic options in Asia. I’m wondering if that means you’ve ruled out strategic options anywhere else. Perhaps you can just sort of talk about what you’ve ruled out? If you do sell any parts of Asia, would you look to pay down debt earlier? Jason, you made some comment about sort of keeping cash high, waiting for the maturities of the debt. Would you actually consider buying those back in earlier? And then the third question, probably on central theme is, you were able to pay down the £1.5 billion of debt over the next few years in any case of future sale proceeds and out of free cash generation. So if you raise money earlier through any disposals, what would you then be thinking about using the spare cash flow?
Maurice Tulloch: Oliver, good morning. Let me take all three of those questions. So I think, first of all, we’ve decided to examine strategic options for our Asian operations. That’s what I’ve announced today. However, let’s not get ahead of ourselves. I mean, there’s lots of potential outcomes on doing a strategic view. We said we’re reviewing the businesses, and I will review them with a focus on enhancing shareholder value. Clearly, I have a framework as I look through Aviva’s businesses and opportunities where I want to invest. And certainly, I’m not going to share what that framework is, nor am I going to comment necessarily on the value of the businesses. But what I would say is, they are strategically and financially attractive and I’m looking for ways to enhance value. And I will update you further and everyone further, when I have more to say.
Oliver Steel: Can you just quickly comment on the debt maturity profile? Would you wait for that maturity profile?
Jason Windsor: I mean, we’re – we’ve laid out our plan that we – I think was even before the June, but we reiterated that the £1.5 billion by 2022. We’ve only said 2022 because that’s when debt maturities allow us to do it in a natural way. We’ve had lots of discussions about accelerating it and it’s certainly something that we haven’t ruled out. We might look at that. As we sit here today, we’re very happy with the liquidity position. We do want to reduce leverage steadily over time and debt reduction is a priority for our use of cash flow.
Ashik Musaddi: Hi. This is Ashik Musaddi from JPMorgan. Just a couple of questions, both kind of related to the interest rate scenarios where we are at the moment. First of all, how do you expect to offset the headwind from that, especially in GI and in European business. So for example, France and Italy, because it should be impacting your European Life business as well as just the way interest rates have gone down to almost like negative now. So that’s one. Secondly, I mean, given what interest rates have done, do you still feel comfortable about taking out special remittances from these subs. I mean, credit market is still very, very good. So what’s the point of taking out special remittances at the moment from businesses in case you are considering taking out from Europe in that businesses, also some other business where there is some excess capital? So what’s your update on that? Clearly, I mean, things have changed where we were in March and where we are at the moment. So has anything changed in your view? Thank you.
Maurice Tulloch: Yes, great. Thanks for both of those questions. I mean, Jason?
Jason Windsor: Sure. I mean interest rate does pose a financial and strategic question for us. And we are very conscious of the financial side of the equation. We’ve got excellent capital management and ALM teams that really help us – we present you the capital position today following interest rate falls. We’ve had interest rate falls in July, quite short ones, particularly in France as you’re probably aware of. We built the balance sheet to withstand that the best we can, but we’ve had to take further action as well given that things had about a 1% move in the 10-year swap rate. The longer-term question around savings products is one that we’ve been talking about, frankly, since 2012, and we’ve been seeking to change the product mix in Italy and France toward in Italy, more hybrid products into France, more into Italy in protection products and that strategy will continue. So we’re trying to have a much more balanced business that doesn’t have overall, but we – if rates stay where they are, we will need to continue to react.
Ashik Musaddi: And on special remittances?
Jason Windsor: Yes, it doesn’t have any direct impact on dividends per se. Clearly, there is an impact on the capital and across the piece. But our initial thinking while it will start to impact somewhat the capital that’s available for distribution, there’s no immediate impact.
James Shuck: Thank you. It’s James Shuck from Citi. Three questions from my side. Firstly, I just wanted to think about the strategic review on Asia. Obviously, it’s not a disposal as such as assessing your various options. The first question around that would be are there things to consider when it comes to existing joint venture agreements, partnerships, if it comes to disposals and change in ownership type clauses, please? Secondly, then thinking about any potential proceeds, which, again, is just a review, so it’s not a disposal. But when I look forward at your reduction in debt, the £1.5 billion to go further on debt, even if you wanted to, which it sounds like you don’t need to, you’d have to tender for debt, which would be expensive. That then leaves the opportunity maybe to do share buybacks at some stage, but then that’s going to increase your leverage again. How do you actually think about when you are changing the shape of the group, or you might change the shape of the group? What you might actually do with those proceeds and how you actually might deploy them? Final question, just around the dividends. So it’s obviously the first time you’ve given the progressive policy, 3%. Is there anything we should read into that about the underlying earnings power of the group? Thank you.
Maurice Tulloch: Great. Thanks, James. Let me take number one. I’ll also take your third question. Jason may want to add a bit more commentary, and I’ll let Jason take the second one. So let me go back to the strategic review and not to be overly repetitive, but I don’t want to get ahead of myself here. We’re going to examine that business and look at all options with a view to creating value. I didn’t say if I go back to previous comments and said – and I do want to get into a kind of a culture where when I make a statement, I follow through on it and I hope we get to that kind of cadence. But I said I would leave no stone unturned. And clearly, I had some pretty good ideas when I took the job as to the things that I would look at. And obviously, I work with my team and certainly the Board and that will continue. But I also think that we are leading towards November and come November, we’ll give greater clarity on to Aviva where we want to take it. But we’ve commenced a review of Asia today and we’ll look at – in all options. On the third point, what should you take away from dividend in terms of underlying results in future sort of thinking on dividend. So we’re going to move to a progressive dividend. We weren’t going to give a specific formula, but clearly, I look at three things. I look at the remittances and not just the current, but the forecast for remittances. I look at the capital generation and also look at both the current results and future results. And in making that, there’s nothing more to read them, those are the factors that we looked at. And obviously, the dividend is ultimately a decision taken by the Board, and it was a conversation and conclusion that we arrived that earlier this week. Do you want to talk about…
Jason Windsor: Yes. I haven’t got a lot further to add. If we did have extra liquidity – and it’s more hypothetical. Again, we’re very comfortable with the position today, but I’d be even more comfortable when we have more liquidity and a stronger balance sheet. So there’d be no burning needs to return it and certainly, share buybacks are not on the agenda. So we would look again at debt reduction being a priority.
James Shuck: The second question in terms of joint ventures and various agreements with bank insurance, though?
Maurice Tulloch: Yes. As it relates to the review, all options are on the table. We have wholly-owned businesses there. We have ones that are existing joint ventures. So we’re not going to exclude anything in a review.
Andrew Crean: Good morning. This is Andrew Crean with Autonomous. I have three questions if I can. Firstly, could you update us on what’s happening with FPI and getting the Avipop proceeds back to home? Secondly, your business profits in Europe fell quite materially and you’re warning about lower sales, I think in France and Italy, because of their interest rate. Should we expect a lower level of volumes, not just for the second-half, but going forward, if interest rates remain here? And thirdly, in terms of cost savings and restructuring. I assume restructuring costs will now be part of the operating re-mid. In which case, roughly when will the cost savings into 2020, 2021 as you overtake the restructuring costs being taken in the operating profit?
Maurice Tulloch: Okay. Thanks, Andrew. Good morning. Let me tackle the first one. I’ll let Jason comment on the second and third question. So with respect to FPI, those conversations continue with the Hong Kong regulator. Those conversations actually were as recent as a couple of weeks ago, so they’re progressing. With respect to the Avipop proceeds, they’re held in the Italian business. And the underlying solvency in our Italian business is all in our green zone. So we’re comfortable on that. So do you want to talk a bit about the outlook for Europe and…?
Jason Windsor: Yes, sure. I mean, the first-half is actually quite instructive. You’ve seen actually a surge in interest for guaranteed products as you might imagine. And we’ve been seeking to temper that with offering attractive other alternatives across the Board as the level of guarantees losses appealing and there’s any so far that we can continue to credit these rates. So the – as I said earlier, there’s a balance between having a unit-linked business or hybrid business in Italy. We continue to see good growth and there’s still very strong demand in it for products. So it’s up to the businesses actually to continue to reengineer that product mix and sell attractive margin products to do with the customer.
Maurice Tulloch: It was the…
Jason Windsor: I think on the costs, I mean, I said this on June 6. We are taking the restructuring cost through P&L. We haven’t charged any in that for the last couple of years now. So that will dampen the progress. So we said the full benefit of the cost saves will be in the 20, 22 run rate. The – in the meantime, we are making progress. So if you look at the – as Maurice said in his remarks, cost reduction already this year. I think you can see the second-half last year is sort of high watermark. So we are already down materially versus that. So if you sort of double the first-half costs for the full-year, that will start to give you a sense of the progress. But the fall in 2020 and 2021 will be slower because of the restructuring costs.
Maurice Tulloch: Yes. We’re also in the planning season right now. So in terms of CapEx, which is a pretty significant portion, you would expect our plans that we do and they roll up from all the business units to start to tackle the CapEx amount. We’re making strong progress on the lean group center and we have a team in place and plans afoot for every business unit and every function in the center. So I would expect that to start accelerating.
Johnny Vo: It’s Johnny Vo from Goldman Sachs. Just three questions, if I may. Just in terms of the liquidity, I know you probably want to keep a buffer in your center holding company. So how much of a buffer would you want to keep in there? And then what is excess? And then what would be the pro forma leverage, if you deploy that excess to pay off the debt? That’s the first question. The second question is, I’ve noticed that the BPA volumes were down at the half. I just want to see your competitiveness relative to your peers. Legal & General quoted their MA spread net of the fundamental spread was about 121 bps at the half year. So I know, it’s very high because of the asset mix and yours is much more defensive. So if you could tell me what your MA spread is? And the third question is just in regards to the remittances from the BUs. Could you tell me the approximate split – percentage split coming from more geographies in terms of the remittances of the £1.5 billion odd?
Maurice Tulloch: Good morning, Johnny, I’m quite comfortable having a nice liquidity buffer. But I’ll let Jason provide you with more commentary, and then perhaps Angela on the BPA question and then you should tackle remittances as well, so.
Jason Windsor: Okay. Well, I mean, as it relates to – well, remittances is an easy one. If look through the pack, you will see we’ve broken out by country. You can see Europe as well the biggest phasing has taken place, is in the big European markets. So that’s reasonably evidenced. The – on liquidity, I mean, there is no reason from a risk capital perspective, we couldn’t actually payoff the long-term debt today. But as I said, I’m much more comfortable having liquidity buffers as we go into what is going to be an uncertain second-half. We have to be realistic. So we are being very measured. And there’s lots of things that we can do to manage liquidity, could bring it all up to the group, but we are liquidating the subsidiaries and in the group. And we’ll continue to be prudently positioned as we go through the next six to 12 months.
Maurice Tulloch: Angela?
Angela Darlington: Thanks. I think the reported MA spread we have is our results is 96 basis points. That’s slightly lower than it might be over the full-year. We had a little bit of drag in June on an uninvested asset. In terms of BPA, generally, I think, we’re very comfortable with where we are. We have – as of July, we’re back to flat year-on-year and living within our appetites and managing our balance portfolio, making sure that BPA is an important, but not necessarily a massively growing part of our portfolio. So I think we’re very comfortable with where we are. We compete in certain parts of the market very well.
Gordon Aitken: Thanks. Gordon Aitken from RBC. Three questions, please. First, on longevity and a smoothing factor with a competitor of yours yesterday, indicating they would smooth future mortality gains, in particular, the one from the 2018 tables and they’ll be sticking with us smoothing factor 7.5% rather than the default factor of 7.0. So I was just wondering do you intend to do the same as them? Second question on the highest price inflation assumption and it sits at 7%. Is that solvency to – I assume it is [indiscernible] IFRS assumption? And the third question on the second actual lease mortgage consultation. You seem to imply from your comments that you are prepared for a negative there. What are your expectations? Because, of course, we’ve already had considerable detailed guidance from the PRA?
Jason Windsor: Okay. Thanks, Gordon. I think on longevity, I have had the pleasure of lots of discussions about smoothing factors. I don’t profess to understand them all. But it’s something that we are taking into account as we look at 2017 and – the announcements we did on 2017 and the announcements we’re doing on 2018. I’m not going to give you precisely how we’re doing it today. But we are doing the work. We take CMIs one input, lots of other mapping and other data that we take, particularly from occupational pension schemes into looking at setting our reserves in the round. We entered the year, I think, as we said at the full-year results, and again in June, in a very strong position. When we look at the longevity reserves overall, when we look at the trends that are in CMI 2018, that’s always supportive clearly. As I think, as you mentioned previously, we’ve seen slightly lighter mortality this year, we need to factor that in. On the HPI assumption, that’s both – that’s effectively the end net calculation that goes into both the IFRS and the Solvency II tests. So we’ve got the effective value of Solvency II, then we’ve got the IFRS balance sheet. So that’s net of all the adjustments that we make for dilapidations and cost of capital and the like. And then we’re not signaling anything new on the ERM consultation. And if that consultation, I think, is now closed and the PRA is considering it and we’ve been an active participant in that and that we look forward to the responses.
Dominic O’Mahony: Thank you. Dominic O’Mahony Exane BNP Paribas. Three questions if that’s all right. Firstly, just coming back to the cash remittances. Could you just help us understand the phasing in a little bit more detail? Is that a frontloading of some that might have happened in H2, or is that a delayed effect from H2 2018? Secondly, in terms of the new business piece, clearly, some of the metrics are down there, whether it’s sales or flows, is there anything about – I think about the VNB number? Is anything about that, that you might think about as sort of distorted, whether, for instance, the movement in rates have a distorting effect on that, or do you anything else that might need that to bounce back? And then thirdly, I wonder if you could just remind us how the UB banker arrangement works. You’ll have seen press reports suggesting that they saw their insurance business as understand you have a JV with them. What could – what are the terms of that? What sort of option price might that be on your share of that, if it were to bought out? Thank you.
Maurice Tulloch: Great. Thanks, Tom. Jason, why don’t you take the cash remittances and timing. VNB, I don’t know if – is it specific to a region, country or is it overall? Just overall, fine, we can start and maybe we can call into some other people, and I’ll take the question on the Italian bank relations.?
Jason Windsor: The phasing was much more within 2019. So it is mainly in Europe and you can see those numbers. As I mentioned, I think, I commented precisely it was about £500 million in the first-half. In Europe, we’re doing £1 billion for the year.
Maurice Tulloch: Okay. Do you want to talk about VNB?
Jason Windsor: The VNB margin. Again, as I said, it’s primarily a European issue. UK margin is down a little bit. We are reasonably faithful, we don’t play with risk margins or anything like that. We give you the number as it comes through. We give, I think, quite a useful map from VNB to solvency to capital generation and I’ve sort of expanded that a little bit. So you can see a couple of more extra line items to sort of walk you through new business in the back book. So we wrote that in a bit more detail offline perhaps. I think, but in Europe, it’s very much about product mix. I mean, volumes have been up nicely, product mix, clearly, the VNB on the traditional savings is lower than on protection and unit linked. As I said a moment ago, we continue to manage that mix.
Maurice Tulloch: Our Italian business is performing strongly. We saw profit up 23% at the half year and that was with us being cautious on some of the economic uncertainty. A few years ago, we diversified that distribution. We now get over third of our sales from Fineco. As it relates to both UB banker and [indiscernible], we’ve got a strong relationship with both providers, good flows, and we’re in active conversations with both around contract renewals.
Dhruv Gahlaut: Dhruv Gahlaut, HSBC. Two questions on GI. Firstly, in that pointed to result strengthening around the motor book coming from two provinces, have you guys seen similar trends? And could you talk a bit about that? Secondly, could you also touch on the UK personal line as in all the trends you’re seeing, both around pricing as well as claims inflation on motor and home book? Thanks.
Maurice Tulloch: Okay. Thanks, Dhruv. I will start with a couple of comments, and I’ll probably ask Colm Holmes, who is responsible of General Insurance Aviva that arguably can give more color than I’ll be able to give. So we’re pleased certainly with our Canadian turnaround. I mean, it’s far from complete. As a former CEO of that business, I have clear expectations on where it should run. And we have a new CEO in place who is actually here today in [indiscernible], but pleased at 90.75 [ph]. Currently, there are certainly were two problems that were most challenging. And I think the former competitor that you mentioned that the references to Ontario and Alberta, we have taken action in both. In Ontario, specifically about getting rate. As I mentioned on, I think, March 7, we had 18.28 [ph] on our RBC book and 8 on the Aviva book, that was further rate from what we had taken in the previous quarter. Alberta is a little bit different, because Alberta, it was a – it’s even more regulated and the action we had taken was to entirely suppress new business and hence, the contraction, which actually flowed through on our results. We were down two in personal lines and up seven in commercial lines. This is a shift mix and that’s a mix that’s by design across our GI franchise. Here in the UK, obviously, rates have been pretty flat to slightly down. We’re now starting to see average premiums kind of go up about 1 point. I think, those will accelerate on the back of the Ogden decision. But Colm, you probably will have a bit more insight that you can share with Dhruv.
Colm Holmes: Yes. I mean, I wouldn’t have much as in Canada. As Maurice said, Alberta is a very different market, there’s rate caps in place. So I think what impact are seeing is exactly what we were seeing. And the reduction in premium is driven by the fact that we very significantly depressed new business in that market, and Ontario rates are coming into the market. Their inflation is not a hugely different to us, quite frankly, Canada has also seen inflation. [indiscernible] has continued to be an issue there, particularly far worse than the UK We know with inflation in motor is running at about 5%, net around 3% and similarly in home, we’re seeing inflation, coupled with Ogden, we do expect rates to continue to harden into the future through the rest of this year and into 2020. We’d expect to see a continue of hardening in rates, particularly in property. In motor, it’s still a competitive market. And as Maurice said, I mean, what we’ve been looking at is remaining disciplined and what we’ve seen is significant growth in our commercial business, where we delivered a core of 94.3% for the half year, which is very pleasing and it’s predominantly in liability and property and not the motor classes.
Ming Zhu: Ming Zhu, Panmure Gordon. Just two questions, please. First, on your UK Life book. Would you be able to give some color in terms of the OCG and stuff between how much new business do you need in terms of volume and margin to offset sort of your back book sort of going off in order to maintain [indiscernible] and OCG and just going forward? And second question is on the Aviva Investors. It has been quite disappointing in terms of overall profit contribution to the group’s earnings compared to some of the composites. Is there plans put in place? Do you have an idea, sort of a target on profit contribution to the group going forward? Thanks.
Maurice Tulloch: Okay. Yes, thanks, Ming. I’ll let Jason take the first question, and I’ll take the second.
Jason Windsor: Sure. So it’s hard to be precise on, because it’s subject to lots of things about mix and types of products and the speed of the runoff. But we recycle capital pretty well. We’ve got many capital light businesses and annuities really has a longer payback, and that’s sort of in the five, six year timeframe. So the capital that we’re investing is coming back to us relatively quickly when we’re growing in places like platform and work-based pensions, which brings through, they’re much more capital generation over time. So I think the outlook, as I said earlier, is to grow OCG. But we will – it’s not going to shoot up. As we look to invest in business – invest in new business and continue to manage the back book, we’ll be managing margin, product mix and costs.
Maurice Tulloch: Ming, first thing I would say about Aviva Investors, it’s core to the strategy at Aviva. I like the future prospects, certainly here in the UK and savings and retirement and having a strong asset manager is certainly critical. Now to your point, you’re right. I think you and I would share disappointment that we’re down £14 million at the half year. Now, about half of that was expected. We obviously inherited lower average AUM. We started the year. We probably had investment performance in the previous year, which was kind of inconsistent with certainly a huge swath for the last two decades, where Aviva Investors has been a consistent performer. The good news is that lead indicators turnaround. As I said, and Jason said, we had two different numbers. I think I said 79%, you said over 75%, so we’re probably said 79%. We just said it differently. But 79% of our funds are being benchmark and that’s a good indicator. We’ve seen that translate already into some mandate wins. We had a couple of billion in new mandates, just in the month of July. And certainly, when you look at our Signature fund, the AIMS series of funds, their performance in the half year, up six and eight, I think is a pretty good indicator. But we also have a great sort of real asset business and we’re seeing external flows from that. I mean, our overall third-party funds were – at the end of June were down 0.9%. So listen, I expect Aviva Investors to turnaround and – it’s quarter, Aviva.
Blair Stewart: Thank you. It’s Blair Stewart from BAML. First question on the UK GI. If you adjust for the reserve releases and the weather, I think it was about 3 point change year-on-year on the underlying adjusted combined ratio, maybe half of that is because you loaded additional expenses into digital. But what’s going on with the other – is there actually an underlying deterioration in the combined, or is it just normal volatility with large losses or something else in the business mix? Just on that. And secondly, just on Asia, a few points of detail. Why was the Singapore profit down? Could you give some color on the – on ports and the other £22 million? Is that mainly China? And in FPI, you’re saying that you are expecting to complete in the second-half of 2019, how much certainty do you have around that given what’s gone on so far? Thank you.
Maurice Tulloch: Great. Thanks, Blair. I’ll take the first and third. I’ll let Jason deal with the Singaporean profit and the other. You’re right to say the – in the normalized 99.3 for UK GI does include the one-off loading of UKD costs, that’s about 1.6, so it will really be 97.7 versus 96.1. And obviously, the big sort of adjustment factors are weather and a little bit on some large losses. But we’re pleased, and we obviously were at the – certainly at the Personal Lines business. We’re kind of at the bottom of the cycle. And obviously, rate adequacy will now strengthen. We saw the market set to move. In Ogden whilst there was an associated charge of £45 million, we’ll certainly start to see some pricing pressures so that we can get rates up to the net inflation, which is always a good indicator then of future profitability. On FPI, yes, I expect it to complete in the second quarter. It’s been a long journey. We had a fairly substantive list of things we are working through with the two regulators, that’s now down to a very, very short list. And certainly, myself and my Director of M&A and my CFO are focused on getting those answers, such that we can complete that transaction.
Jason Windsor: Yes. In Singapore last year, as we said, we’ve remediated it through different performance of the health insurance business. We had some significant repricing inactions that we needed to take through that. Then the Life business, the overall sales were up, the profit down slightly. It’s a business mix change between savings and protection. Some of the protection was slightly higher margin with a slightly different profit signature. We’ve tilted it more towards saving, which has got a longer-term better VNB and longer-term value profile.
Blair Stewart: [indiscernible]
Jason Windsor: Yes. There’s a few other. I don’t think that’s right. Yes, it is mainly…
Unidentified Analyst: Good morning. [indiscernible]. Just a quick question. Are you seeing any tangible change in the competitive environment in individual protection, workplace pensions and home insurance? Because Lloyd’s bank did a 10-minute presentation of their results and are looking to target growth there in workplace individual protection and be the number one player in home insurance. So are you seeing any changes or any impact from them? Thank you.
Maurice Tulloch: Yes. I’ll start off with a high-level comment, I may ask Angela and Colm to add some more color. So probably the most competitive segment, we’ve had anywhere in the group has been individual protection. We’ve seen a number of new entrants into that market. Certainly, our margins have held up reasonably well. I think what’s more important as a leader in workplace you’ve seen our group protection business is up 38%, so that’s strong. Home insurance, I like the fact that we’re a multi-distribution player. So we have partnership agreements, many of which have long 10 years remaining with a number of the key banks. That’s obviously a vehicle. We saw really good growth in our digital and direct home insurance business and we also have our broker for it. So our roots to market, coupled with our product offerings and our claims service, give me lots of confidence in what is a very attractive segment of home insurance. So Angela or Colm, anything you’d like to add?
Angela Darlington: I mean, look, I guess, in – as Maurice said in protection, that’s been a hugely competitive market already this year. And we’re working really hard to make sure that we’re competitive on price, that we’re really focused on pricing at the right places at the right time. We have very good products and propositions and good broker references, but we haven’t been there with price in those markets. So that’s really our focus. And we really start to see the benefit of picking up in the sort of later in H1 this year. On workplace, we are number one on that. It’s usually difficult technical market to enter. I think we get a lot of coverage from EBCs for the technical knowledge that we have in those teams. So I think we continue to be confident of our number one position in there. We’re still seeing growth in funds from existing plans and new funds coming through. So we’ve always have to stay on the front foot on that, but I think we’re in a very strong position.
Maurice Tulloch: The thing I would add on workplace, we’re number one. The key to playing in that isn’t necessarily your products and offerings, it’s your ability to do the administrative platforms and we have a competitive advantage in that space.
Colm Holmes: Holmes here. On your question. Yes. I mean, inflation around higher than we were expecting. We’re now rating about 3 or 4 points above what the ABI has predicted in terms of rate. So we expect that to come back. We’ve also changed our mix of business, so our broker channel is down about 6%, but where we are seeing growth is in our direct channel. And so we expect come the end of the year, you’ll see an improvement in the core home book and that will flow again into 2020. That’s the rate we’re applying actually starts rendering [ph].
Maurice Tulloch: Well, thanks, everyone. Appreciate that you came here this morning. And I just reiterate a couple of themes. And so [indiscernible] from me at Aviva I’m pleased with the performance. I’m pleased with the fact that, as an organization, we’re ready and resilient for what lies ahead. And I’m looking forward to setting new course for this great company. That’s why I took the job. My ambitions are endless and I look forward to seeing all of you hopefully, in November to share a bit more of that. So thanks very much, and enjoy your day.